Operator: Good day. And welcome to the Norsk Hydro ASA Third Quarter conference call. Today's conference is being recorded. At this time, I would like to turn the conference over to Pal Kildemo. Please go ahead, sir.
Pal Kildemo: Thank you. Good afternoon. And welcome to Hydro's third quarter 2015 conference call. We will start today with a short introduction by President and CEO, Svein Richard Brandtzaeg followed by a Q&A session where also CFO, Eivind Kallevik will join. For those that did not see this morning's webcast of the results presentation this is available on hydro.com. And with that, I leave the word to you Svein Richard.
Svein Richard Brandtzaeg: Thank you, Pal, and good afternoon everybody. Underlying EBIT for the third quarter of this year was NOK 2.2 billion which is down NOK 0.5 billion from second quarter and up NOK 0.7 billion from the third quarter last year. If we start with the bauxite and alumina, I'm happy to recall a historical low and [provide] alumina cost of [$217] on the back of [indiscernible] as well as increased alumina production at Alunorte and record high production of bauxite at Paragominas which is now at level of 10.9 million tones annualized. This effect was somewhat offset by lower realized alumina prices. In Primary Metal, the falling all-in prices continue of the following -- influencing the earnings negatively, but also here a weakening knock at the [isle] against US dollar, US dollar benefit us. Last quarter, we talked about the record downstream results and also the third quarter is seasonally weaker in the downstream segments. The results actually increased in the rolled products area which is a strong development. In Energy, we saw an increase in results due to high production as the delayed [soft] snowmelt came [indiscernible] effect in the third quarter. This was roughly offset by lower energy prices. I am also pleased to announce that we have signed a Letter of Intent with Vale for their 40% stake in the first quarter MRN bauxite mine. We will now take due diligence and see if we will follow through with the construction. [indiscernible] comes to the market, the increasing supply in China and the weakening demand growth in and outside China continues resulting and as stated on [indiscernible] this is in global primary outlet from around 5% to 4%. An increasing [expects] or supply to around 1 billion tonnes this year. The Chinese oversupply continues increasing while the undersupply outside China remains stable. And Chinese exports of semis has declined significantly and are now at levels 10% below the levels we saw last year positively reflecting with the used arbitrage opportunities for export in semis where we have been focused. As we end the final quarter this year, our improvement focus remains high on the agenda. Through the third quarter, we have demonstrated that we are in control of the [indiscernible]. Like for example, bauxite production which is running at close to 11 million tonnes in annualized speed at Paragominas. As we said last quarter, we have managed to lift production at Alunorte but with 5.5 million tonnes, we still have some left to get to nameplate of Alunorte. We are stabilizing and continuing with this production. At the same time, we are delivering operational and commercial improvements. We saw the leasing operating capital and other items would be placed high on agenda they lost to [indiscernible] after the buildup in the first quarter. The lease of 2.1 billion is of course largely related to falling prices, but also [soft inventory] release. We are continuing to deliver some very interesting downstream growth projects, including the automotive body in white line in Grevenbroich, as well as the UBC recycling facility in Rheinwerk, which will be delivered on time and on budget. At the same time, we announced the divestment of a non-core lower margin operation in Italy and a combination of these efforts contributes towards the high grading of portfolio in the current markets which can be described as challenging.
Pal Kildemo: Thank you Svein Richard. Operator, we are now ready for questions.
Operator: [Operator Instructions]. We will now take our first question from Dominic O'Kane from JP Morgan. Please go ahead, your line is open.
Dominic O'Kane: Hello all. Two questions from me. Just firstly on CapEx, the CapEx reduction that we've seen so far in 2015, could you maybe give a bit more details on where and what those optimizations are? And then should we expect a deferral of that NOK 1 billion into next year or will some of that come out of the post -- you've simply said that not be spent. And my second question is on, again just on the timing of the LME versus index alumina contracts. Could you maybe just help us with a modeling for the next say four quarters?
Svein Richard Brandtzaeg: Okay, Dominic. On CapEx, firstly the billing has split in two, so roughly NOK 200 million driven by [price retention] where we hope whether it would be around $1, all the facility [indiscernible], and that's partially offset by the euro development, in fact maybe the investments that we did in Germany. Of the NOK 800 million which we [then named] CapEx optimization performance, a bit part of that comes from the Brazilian operations and it has to do with, I would think it's the timing of the [indiscernible] that we're doing at Alunorte and the new [indiscernible] we're doing at [over the investment] to a large extent we'll respond into 2016 and partly after 2017. Smaller parts will probably disappear and we kind of fix it, but the bigger part is more [tiniest] than anything else. And then LME to index contracts, we are at roughly [1730] this year and then that will continue to increase in the next couple of years and then in 2018 we will get more to 1820 rule. And in '16/'17 roughly 60% to 70% will be towards index and then it's hard to guide you on quarterly basis because it all depends on shipping [province] and so on, [but we are sure we'll have this one] from an annual perspective.
Dominic O'Kane: Okay. So for 2016, 60% to 70% will be LME-linked?
Svein Richard Brandtzaeg: It will be, yeah.
Dominic O'Kane: Second?
Svein Richard Brandtzaeg: It will be on the index. And I'm sure about 80%.
Dominic O'Kane: Thank you.
Operator: We will now take our next question from Jatinder Goel from Citigroup. Please go ahead, your line is open.
Jatinder Goel: Good afternoon. A couple of questions, firstly on MRN, what happens if you don't buy it out, is there a mandate because it doesn't appear that there is any put option in the hands of Vale as they had for Paragominas, so do you have an option not to buy it and continue with the volumes or is there CapEx which needs to be spend in the mine for which you need to actually get involved as an owner rather than on [stake] partner? And secondly, just on the rolled product divestment, what kind of unit profitability uptake do you see after the divestment and are there any other assets within rolled products or anywhere else in the portfolio which you think are non-core or low margin which you probably want to divest going forward? Thank you.
Svein Richard Brandtzaeg: Okay, thank you, Jatinder. With regards to MRN, not the buyout, it's first of all an option depending on what comes out on the due diligence, but the reason why we want -- and are looking at acquiring this mine is, the fact that we have got 5% ownership today. We have the stake of 45% in total. So we will have [indiscernible] stronger voice of course with 45% ownership. We will take care more actions with regard to improvements, development of the mine, of course also taking responsibility of possessing any CapEx going forward, but also we will benefit from the income flow which has been the difference between the sales price of bauxite and the cost and production of bauxite. So all in all, we feel that this will be a good fit with us. And this is the first quarter from a [cost scale]. A very efficient mine, it has a very good [strip] ratio and with high quality bauxite, so I think it fits very well with our strategy and oil prices in Brazil. The fact that we also have 2.5 billion to 3.5 billion tonnes surplus of [indiscernible] market, it's one point there, but also the fact that the majority of this bauxite goes into the [rolled biggest refinery] not there which also needs [sourcing from hammer]. With regard to [Slim], this is, I would say, a commodity standard rolling mill which has been operating in Italy in a low margin market for [indiscernible] with utilization of capacity, the capacity is 92,000 tonnes and the production has been between 50,000 and 70,000 tonnes during the last year. So this is defined as non-core and we're now divesting it. There are no other rolling mills that are defined as non-core, of course, there are different market segments that we're serving probably different rolling mills, but we continue to [high grade] the product portfolio in the rolling mills that we have still step up at level of strategic development for rolled products going forward.
Jatinder Goel: Okay. So if I could just quickly follow-up on the rolling side, would you say, your overall EBIT in absolute terms doesn't change post the divestment, and just on MRN, is the amount you paid for Paragominas for the remaining 40%, 20% you have already paid and 20% you're supposed to pay, a good guide for the valuation of MRN, or you think these are two very different assets and need to be looked independently under the light of current market conditions for valuation?
Eivind Kallevik: Hi, Jatinder, it's Eivind Kallevik, here. On the rolling side, we don't have specifics on the margin side and [individual parts], but as Svein has indicated, a rolling part has been operating [indiscernible] capacity and it's also developed in these kind of products, so it's fair to assume that it's been below the average margin as we like in rolled products, and rolled products are fine, and I don't expect this to have a significant impact on the EBIT performance [with the material] going forward.
Svein Richard Brandtzaeg: Then it comes to the acquisition part of MRN, I don't think we will give any further comment and guidance on the acquisition part. We have completed the due diligence and we see the results of that and we've probably reviewed it up in a normal fashion.
Jatinder Goel: Okay, great. Look forward to CMD then if you might have more comments, and thank you.
Svein Richard Brandtzaeg: Okay, see you there.
Operator: [Operator Instructions]. We will now take our next question from Menno Sanderse from Morgan Stanley. Please go ahead, your line is open.
Menno Sanderse: Yeah, thank you. Two questions, please. The first is on rolling and on downstream clearly there may be a [indiscernible] position to make in that area in the next couple of quarters. Has anything changed in terms of your views on that business, that clearly had a decent quarter, but that just could be cyclical, so just interested to hear where you see that business and its lifecycle, I don't know if you have altered your views fundamentally? And then second and third a few smaller ones, the €40 million to €50 million of costs that the company highlights related to the Slim assets, is that all non-cash or are there some cash related losses in that. And finally, the working cap, is the company confident it can hold on through this working capital inflow in the fourth quarter, so should we assume that that really helps to reduce net debt for the year?
Svein Richard Brandtzaeg: Thank you, Menno. I'll take the first question related to the rolling and downstream. I would say that, it is encouraging that we are approving the results in rolled products, but that hasn't changed the view because we are continuing as [indiscernible] company and we see the benefit of managing the total value chain, and that's also customers are really appreciating that what we do as a company for downstream products and we have the control of the full value chain. So we are not [sure on] all mines particularly, of course, encouraging to see the record results in the second quarter and [indiscernible] in the third quarter. Eivind, you can answer the other questions.
Eivind Kallevik: Okay. Let me go through the €45 million to €55 million amount of the EBIT loss or impact on the sale of Slim [top], better than non-cash on metal. And on the net debt, in terms of net operating capital, I think there is a large [level] that we will be able to keep that towards the end of the year. And also like I said optimizing working capital is [filing] the agenda for the management, so we continue to work to [file] more than as we saw this quarter. So we can read as being quite closer to that that we will be able keep that and now we'd be able to do more.
Menno Sanderse: Okay. And the [2.1] was largely you said price related, so am I fair to assume 80% or so?
Eivind Kallevik: It's a split that's partly fiscal and that's how it is probably coming down and it's probably [positive].
Menno Sanderse: Okay. Thanks a lot.
Operator: We will now take our next question from Hjalmar Ahlberg from Kepler Cheuvreux. Please go ahead. Your line is open.
Hjalmar Ahlberg: So you had quite high bauxite [trips] in this quarter, and I guess you're selling more of this on the split market. Can you say something on the development on the prices on bauxite that you're selling [on spot]?
Svein Richard Brandtzaeg: Hey, Hjalmar. We did not file bauxite production, but of course, we have some of the MRN volumes that we produced and it'll be exported out for sale to our bauxite customers. I think on average for a year, we have about 3 million tonnes, that would be half of the [position] that we sell, and that of course will [swing] for us from quarter-to-quarter depending on the production levels.
Hjalmar Ahlberg: Did it have any material impact on the [indiscernible] this quarter in earnings?
Eivind Kallevik: Not really, no. Not so much to find any significant barriers in the future to give you the difference.
Hjalmar Ahlberg: And just on the question on CapEx, you said you deferred onto [2016], could you say some new guidance on what kind of levels we should expect for the fixed [income] higher at which 2016 or in line or so?
Eivind Kallevik: I think we've guided in the past, you all know that, also 2016 and also 2017, there is still -- that's an investment that we've done and it'll have quite modern effect on areas in [indiscernible] and then of course it also depends on how we decide on that [file option].
Svein Richard Brandtzaeg: So I think we will, in terms of specific guidance of that we will come back on Capital Markets Day, but the guidance will have relative effect on CapEx levels in 2016.
Hjalmar Ahlberg: And then lastly, have you made the last payment for the Paragominas mine now or is that still to be made?
Svein Richard Brandtzaeg: This is still be made, the put call option is really a 2016 discussion, and then of course there is a put call between the two parties in 2016.
Eivind Kallevik: From a CapEx perspective, you will not see that on the [indiscernible] because that's already been booked as investment, but of course you will see the [cash head backhaul], all the cash development.
Hjalmar Ahlberg: Yeah, alright. Thank you.
Operator: [Operator Instructions]. We will now take our next question from Christian Kopfer from Nordea Markets. Please go ahead. Your line is open.
Christian Kopfer: Okay, thanks operator. Good afternoon. Just a follow-up on the market pricing dynamics, I mean, looking at the LME price [churn] in that premium prices are basically at the same level at the beginning of the century, and obviously you showed the graph today, showing some 20 million out of 60 million tonnes and the market is running at losses, that you have seen this rescaling for some actions and I mean rationally the Chinese -- I mean from my perspective at least they are dumping material on the global market, I mean, what is your reasoning on possible anti-dumping measures in Europe? Thanks.
Svein Richard Brandtzaeg: Well, thank you for the question, Christian. In this call we deal with market pricing dynamics, as I said, this is all about a supply demand game and it's right, Chinese overall production is [whatnot] we'll have issues related to this. At the same time as we see that [50%] capacity in the world, as it now below 60% to 70%, but this is in China. So why doesn't China react which would be quite logical anticipation or that's the case in Europe, that is two criteria that has to be fulfilled. One is that, some [indiscernible] that are selling below cost of production, and that is a possible period, but we know that the Chinese companies, what we're seeing out there, they are still excellent. The second criteria that has to be fulfilled is related to that this is a [damage] for the industry. And also [closures] during the last year, obviously no is that it would be difficult for the moment to prove that this is [damaging] industry. It is of course using the prices but that is not enough, we have to prove that this is also really damaging [indiscernible] eventually, so again it could be more difficult in Europe than in US. It goes with US after dry fall [duties] against China, so we remain to be same, but of course the main price signal and the fact that companies are losing money every day. We should call for some action, but we don't have any control of this, of course and we have to [leave] that to our competitors.
Christian Kopfer: Okay, thanks.
Operator: No further questions in the phone queue at this time.
Pal Kildemo: Okay, as there seems to be no further questions, I suggest we end this quarter's call. From all of us in Oslo, I would like to thank you for your attention today. If you have any follow-up questions, please do not hesitate to contact us. Have a nice evening and hopefully we'll see you at our Capital Markets Day on the start of December at the London Stock Exchange. Thank you.
Operator: That will conclude today's conference call. Thank you ladies and gentlemen. You may now disconnect.